Operator: Good morning, everyone. Welcome to the Exchange Income Corporation's Conference Call to Discuss the Financial Results for the three months and 12 months periods ended December 31, 2023. The Corporation's results, including the MD&A and financial statements were issued on February 22, 2024, and are currently available via the company's website or SEDAR. Before turning the call over to management, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the Safe Harbor provisions of Canadian Provincial Securities Laws. Forward-looking statements involve risks and uncertainties and undue reliance which should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the Risk Factors section in the Annual Information Form and EIC's other filings with Canadian Securities Regulators. Except as required by Canadian Securities Law, EIC does not undertake to update any forward-looking statements. Such statements speak only as of the date they are made. Listeners are also reminded that today's call is being recorded and broadcast live via the internet for the benefit of individual shareholders, analysts, and other interested parties. I would now like to turn the call over to CEO of Exchange Income Corporation, Mike Pyle. Please go ahead, sir.
Michael Pyle: Thank you, operator. Good morning, everyone, and thank you for joining us on today's call. Yesterday, we released our fourth quarter and annual results for 2023. In announcing our results, we reported several records for annual and for Q4 amounts. EIC had an incredible year in 2023 and we have set our foundation for the future. We have set records in virtually all financial metrics. In our public reports, we highlight that 2024 represents 20 years since the first acquisition of Perimeter in May of 2004. Our results demonstrate the success of our strategy. By proven companies with excellent management teams, invest in those companies and nurture their growth. In doing so, we can provide a stable and growing dividend for our shareholders. That strategy has been the blueprint for our success for the past 20 years and is even more relevant today. The secret sauce is the disciplined nature of our acquisitions and investment in growth capital in our business and operational execution by our underlying subsidiaries. EIC preserves the cultures in our acquired entities and created an environment where their management thrive. Those are going to be common themes throughout today's call. We have a lot to be proud of. However, in line with our other calls, we will attempt to keep our prepared comments as brief as possible to allow time for questions. With me today is Richard Wowryk our CFO who will speak to our financial results, and Carmele Peter our President who will expand on our outlook for 2024. I will limit my discussions to the year ended December 31 results for the full year, while Richard will focus his remarks on the fourth quarter results. For our annual results, revenue increased 21% to $2.5 billion. Adjusted EBITDA increased by 22% to $556 million. Net earnings grew to $122 million from $110 million. Net earnings were unchanged at $2.72. Free cash flow, less maintenance capital investment grew by 15% to $202 million. On a per share basis, it grew by 3% to $4.49. Adjusted net earnings increased to $144 million, up 8%, and adjusted net earnings per share was down slightly to $3.20. The payout ratio on a free cash flow less maintenance capital expenditure basis was very strong from a historical perspective at 57% compared with 55% the previous year. The payout ratio on an adjusted net earnings basis was 80% compared to 73%. These payout and net earnings financial metrics were achieved despite a $39 million. Lastly, we announced in November a 5% increase in our dividend to $2.64 per annum, our third such increase over the past 19 months. These remarkable results were partially due to acquisitions of Hansen, BVGlazing, and DryAir during the year, all of which were perfect fits for EIC and were accretive immediately and fit our disciplined acquisition strategy. The other main contributor to the results was continued investment and resulting growth in our operating subsidiaries. We will highlight those key investments, their impact on the year and how they are expected to impact future periods. First, let me talk about our acquisitions during the year. Each of the acquisitions is accretive to our bottom line. Hansen is a custom fabricator of precision metal components and assemblies located in Richmond, BC. It joins our subsidiary Overlanders and expands our sheet metal capabilities in the BC region. It also diversifies our revenue streams and capabilities to our customers as Hansen has machining and high volume stamping capabilities. These capabilities, coupled with Overlanders sheet metal and custom powder coat capabilities lead to a full service, lower mainland precision metal business. Hansen has already seamlessly fit into our EIC family and has already started working with our other manufacturing subsidiaries. Our second acquisition was BVGlazing. BV manufactures unitized and stick curtain wall systems and railing systems in addition to its core window wall glazing systems, similar to those produced at Quest. BV's ability to provide curtain wall and railing products allows our Multi-Story Window business to offer a complete solution to our customers. BV is a great complement to Quest and makes us one of the largest Multi-Story Window Solution businesses in Canada. Our COO Darwin Sparrow has become significantly involved bringing Quest and BV together and in identifying and executing on synergies and other opportunities. Furthermore, such entities have been working with our manufacturing subsidiaries to identify opportunities to work together. Examples would include Hansen for certain installation of metal components and Overlanders for powder coating capabilities. The last acquisition completed was DryAir. DryAir is an OEM manufacturer of portable, hydronic heating systems. They sell their products to the growing rental company industry in North America. DryAir has been meeting with various manufacturing subsidiaries and has identified several opportunities to work with our other manufacturing entities on existing and new products. Our acquisition process is very disciplined and we are very excited to welcome these three companies into our EIC family of companies. However, equally important as these acquisitions are the growth capital investments in the businesses we already own. We had several contractual wins this year which will result in accretive growth in the future on both a top and bottom line basis. The first announcement pertained to the commercial agreement with Air Canada for the provision of regional services in Eastern Canada. The agreement commenced in July of 2023 and required the company to invest in additional Q400 aircraft to service the contract. To date, four aircraft are flying the regional routes and by all accounts has been a success.
Medevac: Since November, we are servicing the BC Government with existing aircraft in our fleet coupled with the assistance of other legacy providers. The Manitoba contract requires a fleet of five planes being a combination of jet and turboprop aircraft. The turboprops have been modified and placed into service during the first quarter of this year, with the jets coming online in the latter part of 2024. Both of these contracts are important for several reasons. Firstly, they demonstrate our capabilities as one of Canada's largest Medevac providers. Secondly, they are all long-term contracts and are accretive to the company. And lastly, they provide us with opportunities to expand our services with provinces as well as provide opportunities in other regions. Both contracts require significant upfront investment for aircraft, interior modifications and additions to our infrastructure. These costs are borne upfront and the full benefit of the contract will be more evident in the latter portion of this year and into 2025, especially with the BC contract where the existing King Air assets will be redeployed and continue to generate income. We announced the deployment of the Force Multiplier with the UK Home Office for an 18-month period. The UK Home Office has issued an RFP for a long-term contract and we submitted our proposal in January. The contract will provide meaningful returns as the Force Multiplier asset will be fully utilized for the vast majority of this year. We also announced the acquisition of a full motion King Air simulator which will be located in Winnipeg. We have become one of the world's largest operators of King Air aircraft and the full motion simulator will allow for the simulation of the exact landscapes, environment and runways that our pilots will encounter. This will enhance our pilot skills and will have a number of benefits including improved safety, reduced travel costs and corresponding reduced greenhouse gas emissions. This is an investment in our people and will enhance our ESG journey which will all be further discussed in a moment. I will take the remainder of my time to discuss our operating segment performance for this year and some highlights and drivers of these great financial results. Our aviation subsidiaries are experiencing strong demand across our portfolio. We have made meaningful investments over the last number of years including adding aircraft to the fleet. These investments have been a success as our revenues in aviation and aerospace have increased by 12% while our adjusted EBITDA has increased by 23%. The drivers of the revenue increase and margin expansion was in all three business lines. Firstly, the prior year's first and second quarters were impacted by COVID. Therefore, results were muted. Returning to normal volumes drove revenue increases in our essential air services. The return of normal traffic was important. However, the real driver was our past fleet investments that bolstered our rotary wing and scheduled and charter businesses. Furthermore, the expansion on the East Coast with Air Canada contract was also a significant driver. More importantly, our margins grew due to the investments in assets and higher load factors impacting our bottom line. Our Aircraft Sales & Leasing business continued on its upward trajectory. Our leasing revenue increased by close to $20 million or 59%. The lease revenue increase has an outsized impact on adjusted EBITDA. The parts and asset sales component of the business remained strong although they were down from the prior year as last year was exceptional and above historical norms. Lastly, our Aerospace business had a very strong year due to the Netherlands Coast Guard contract that started in the fourth quarter of 2022 and the UK Home contract that I just spoke about. Those increases in asset utilization drove a meaningful increase in adjusted EBITDA during the year. Our Manufacturing business also had a great year. It surpassed $1 billion in revenue and generated adjusted EBITDA of $181 million. When we delve into the components of the increase a little deeper, we see that the revenue increased at our Environmental Access Solutions by 20% as Northern Mat was acquired on May 10, 2022 and therefore only had a partial year comparative period. During 2022, the first quarter of 2023 and partway through the second quarter, the business experienced a unique alignment of price, demand, supply and weather that drove results far beyond our expectations. The first part of that second quarter were also buoyed by long linear projects winding down in Western Canada that resulted in an abnormal number of rentals during those winter months. Fast forward to the third and fourth quarters of 2023, the results have moderated consistent with our acquisition metrics which the deal was priced upon. We are happy with those returns and they are accretive to our business. Looking back, we were very fortunate to acquire the business when we did in 2022 and have experienced those abnormally high returns. Our Multi-Story Window's business continued to improve. It was driven by the acquisition of BVGlazing. Adjusted EBITDA expanded by 110%, which was more than the revenue growth in that business line. The improvement in profitability was driven by enhanced scheduling, increased throughput at our facilities, and specifically the ramp up of our Texas plant, and increased pricing on projects which flowed through the bottom line following the increases in cost. We did experience some higher costs in the business, but we feel that the supply chain and inflationary pressures have started to normalize. Lastly, our Precision Metal & Engineering business continued to reform. This increased 11% and adjusted EBITDA by 26%. The increase in revenues and adjusted EBITDA were partially driven by the Hansen and DryAir acquisitions. Another contributor was product mix, resulting in higher margins across several subsidiaries. Our maintenance capital expenditures during the year were $175 million, an increase of 12%. This was compared to our adjusted EBITDA increase of 22%. The maintenance capital expenditure increase were driven by an increase in the fleet, increased flying hours, and inflationary cost pressures. Our growth capital expenditures for the year were $303 million compared with $125 million in the previous year. As previously discussed, the growth capital expenditures were primarily related to the contract wins previously discussed. We apply a similar discipline to growth capital expenditure decisions as we do to our acquisitions. The only difference is that the certain growth capital expenditures require time to ramp up for the returns to be obvious in our bottom line. In looking at our business, 2023 was about executing on our existing businesses coupled with the investment in the future, whether it be by way of acquisition or growth capital expenditures. Our future is bright and this is driven by our entrepreneurial management teams and disciplined execution that has allowed us to deliver a consistent growing dividend to our shareholders. In order to take advantage of the opportunities we have to make sure we have our finances in order. We have always ensured that we have capital on hand to capitalize on investment opportunities when they arise. We manage our balance sheet with the same discipline we do when we consider investment returns on acquisitions and growth capital expenditures. During the year we amended and extended our existing term facility, resulting in an upsize of the facility to approximately $2 billion and the term was extended to 2027. We don't have any debt coming due until our 2018 debentures are due in the June of 2025. Furthermore, we executed a bought deal financing, the largest in our history in June of this year. These proceeds are being utilized to fund the growth capital expenditures related to the Medevac and other contractual wins. These financing activities mean that we'll continue to be conservatively levered and we have available capital to pursue opportunistic acquisitions or further investments in our existing businesses. On the stakeholder front, I wanted to talk about our people at EIC and our customers in the communities we serve. Our people are what drives this company and our family based culture aligns with us. I want to say thank you to each and every team member throughout our company, which is now over 8500 people strong. In relation to people and communities, I want to talk briefly about some internally developed programs. Several years ago, we saw an upcoming shortage of pilots that was obviously exacerbated by the pandemic, but we started our journey back in 2019 with the Life in Flight program. This was done proactively to address the shortage of pilots and AMEs in the industry and to create our own EIC solution to a broader issue. In 2022, we announced the start of the Atik Mason Indigenous Pilot Pathway program and this program continues to grow and has exceeded all of our expectations. We were proud to see six students from our first class return in 2023 and twelve new indigenous members commence their aviation journey in 2023. Five of those students have either graduated or are near graduation, and all five have accepted employment opportunities in either our airlines or at MFC training for 2024. This is an incredible achievement.
Inlet: We have also continued our very successful partnership with the Winnipeg Blue Bombers. We celebrated the National Day for Truth and Reconciliation by collaborating with our indigenous partners and the Winnipeg Blue Bomber Football Club to host over 1000 indigenous guests at a CFL game in late September. These guests were flown from across Canada and the event was a tremendous success by all accounts. Further, last week we announced that EIC partnered with the Winnipeg Blue Bombers on a community outreach initiative. Members of the Blue Bombers, management, coaches and team will travel the ten northern communities to participate with the youth and the leaders of the communities in the spirit of reconciliation. We have also continued our journey to ESG reporting. In 2022, we published our second sustainability report. We continue to track and monitor our Scope 1 and Scope 2 emissions and have started to undertake a project to understand and measure our Scope 3 emissions. Sustainability has been top of mind for EIC since our inception and one of our guiding principles to our strategy. We manage our sustainability efforts the same way we do with other areas of the business. We are disciplined in our approach, manage the short-term and focus on the long-term. ESG and its reporting is a journey as evidenced by the new standard setting bodies in Canada. We support the development of harmonized reporting standards. We continue to mature and improve our reporting each year and anticipate publishing our 2023 report in the near future. Carmele will focus on the outlook for our segments for 2024, but firstly, I wanted to reiterate our guidance for 2024. We confirm our adjusted EBITDA range of $600 million to $635 million. We have made significant investments this year and are poised to realize on those investments this upcoming year. We are excited about our future and intend to keep doing what we are doing because it works. I will now hand off the call to Richard, who will detail the fourth quarter results.
Richard Wowryk: Thank you Mike and good morning everyone. As Mike mentioned, I will keep my comments to the fourth quarter in the interest of time. Revenue and adjusted EBITDA in the fourth quarter were both fourth quarter records. Revenue increased by $113 million to $657 million, or 21%, and adjusted EBITDA increased by $20 million or 16% to $144 million. On a segment basis, adjusted EBITDA for our Aerospace and Aviation segment increased by $21 million to $109 million, while our Manufacturing segment adjusted EBITDA decreased by $2 million to $45 million. Our revenues and adjusted EBITDA in the Aerospace and Aviation segment were buoyed by the expanded route network related to the Air Canada agreement, coupled with strong demand and realization of returns on past investments in our fleet. Our Aircraft Sales and Leasing business revenues continued to improve with our leasing revenues nearly doubling over the prior year comparative. Sales and service revenues continued to be strong, although they were slightly down compared to the prior year as sales in 2022 were above historical norms due to large asset and engine sales. The Manufacturing segment experienced revenue increases largely attributable to the acquisitions during the year. Adjusted EBITDA, however, declined. This was primarily due the fact that the fourth quarter of 2022 was very strong for the Environmental Access Solutions business line with the perfect alignment of price, demand, supply and weather. Furthermore, Q4 of 2022 and Q1 of 2023 also had the unusual benefit of matting continuing during the winter months on a couple of long linear projects, which would be abnormal at that time of year. As a result, revenues were down about 6% in the business unit and adjusted EBITDA was down 38%. That being said, the returns on the business in 2023 continued to be in excess of the acquisition metrics on which it was priced. We were fortunate at the time of the acquisition to have those unique circumstances. The revenues and adjusted EBITDA in the Multi-Story Window Solutions business continued to improve during the quarter. Revenues were up primarily due to the acquisition of BVGlazing during the year. Adjust EBITDA improved by a factor in excess of the revenues due to the improved scheduling, increased throughput into facilities, and increased pricing on certain projects. Our Precision Manufacturing and Engineering business line had a solid fourth quarter primarily due to the acquisition of Hansen and Dry Air, which showed increases in revenue and adjusted EBITDA. Overall net earnings and adjusted net earnings increased by 8% and 5%, respectively. This was driven by the 16% increase in adjusted EBITDA offset by increased depreciation and interest expense. Depreciation increased by $10 million over the prior period due to investments made in growth capital expenditures, the addition of capital assets to the corporation's acquisitions, and increased flying completed by the corporation's airlines. Interest expense increased by $7 million over the prior period due to increase in benchmark borrowing rates coupled with credit facility draws to fund for the growth initiatives that Mike discussed earlier. Free cash flow and capital expenditures increased by 24% on both metrics. Free cash flow reached $102 million during the fourth quarter and free cash flow capital expenditures increased by $10 million to $50 million. These Q4 results and the results for the year are quite remarkable considering the macroeconomic conditions that we were all exposed to. The year began with high inflationary pressures which resulted in central banks continuing to increase interest rates to decade long highs along with supply chain disruptions and tight labor conditions. As mentioned, the impact of our interest rates for the quarter was $7 million. In previous years and in the current year we made the choice to fix interest rates on a portion of our debt. In prior years we swapped $190 million of debt and in the current year we entered into two additional interest rate swaps, one in the amount of C$350 million and one in the amount of U.S. $140 million. Without those two interest rate swaps entered into 2023, the increase in our interest costs would have been much higher as the swaps were entered into at a time where there was significant inversion in the forward curve. Even with the significant increase in interest expense, our payout ratio based on free cash flow capital expenditures was 57% at year end. With that in context over our past 20 years, that is near historic lows. As we moved throughout the year, the inflationary pressures started to abate and supply chains partially improved. The interest rate environment still appears to be uncertain. Timing of rate cuts are consistently moving as central banks consume conflicting data on inflation, job and wage growth. Geopolitical uncertainty continues around the globe. This can have an impact on our supply chain for goods and services. However, it also creates opportunities for certain of our manufacturing and aerospace aviation subsidiaries. In light of these uncertainties and our opportunistic but disciplined acquisition strategy, we have ensured that we have fortified our balance sheet this past year. First, we actively managed our investment in working capital, although our revenues and adjusted EBITDA are at all-time highs, our investment in working capital was $53 million, which can be fully explained by the receipt of a large payment in December of 2022, with the corresponding outflow occurring in 2023. We had a similar transaction impact this year, however, the amount was only $30 million. Therefore, effectively we managed our working capital on a relatively flat basis when our revenues and adjusted EBITDA were up over 20%. During the year we also upsized and extended our credit facility. The amended credit facility provides us with financing up to $2 billion and extends the maturity out to 2027. Lastly, to fund the contractual wins that Mike previously spoke about, we got executed on our largest bought deal offering in the corporation's history and raised $173 million of capital. These transactions have allowed us to maintain a strong balance sheet. Our current senior leverage is less than 2.5 times, which is consistent with our conservative history. Our total leverage ratio, including the impact convertible to ventures, continues to decline and is at five-year lows. We actively manage our balance sheet and leverage to ensure that we have available liquidity to execute on any opportunistic investments, whether it be through growth capital expenditures or acquisitions by Adam and his team. In all cases, whether it be growth capital expenditures or acquisitions, we always apply a high degree of discipline in making those decisions so that they are accretive to our shareholders. This is evidenced by our 20-year track record. Our M&A pipeline remains strong. We are confident that our balance sheet is in a position that allows us to execute on future transactions and will ensure that we fund acquisitions and growth projects as we always have, accretively with consistent and modest levels of leverage. During the fourth quarter, EIC made growth capital expenditures of $102 million. These growth capital expenditures were entirely related to the Aerospace and Aviation segment and were driven primarily by investment in additional aircraft, equipment, interiors and infrastructure for the Manitoba and DC Medevac contracts. Manufacturing experienced a negative growth capital expenditure of $5 million related to the reduction in right size of the Environmental Access Solutions rental fleet. As we repeated before, the cash outflows for the contractual wins precedes the returns on those investments. That is the reason certain per share metrics have declined in the current year due to the bought deal offering and delayed returns on those funds invested or to be invested. Maintenance capital expenditures for the fourth quarter were $52 million compared to $42 million in the prior fourth quarter. The increase was driven by the Aerospace and Aviation segment and was due to the increased fleet and increased levels of flying, resulting in maintenance events. That concludes my review of our financial results. I will now turn the call over to Carmele.
Carmele Peter: Thank you, Rich. We are very proud of the results we achieved in 2023 and our outlook for 2024 is for continued growth driven by the stability of our business model and investments we have made in prior periods to build our future. I want to first discuss our outlook for the next fiscal year and provide some insight into our operations. As Mike had mentioned, we have reiterated our guidance of adjusted EBITDA of $600 million to $635 million. When we break out our annual expectations amongst the quarters, we note that our business is exposed to predictable seasonality patterns. Weather and other factors can somewhat impact these general patterns. However, we usually see that Q1 is our most seasonally challenging. This is primarily due to our Essential Air Service business as winter roads are usually available to transport people and goods into remote communities that our airline service. Our Environmental Access Solutions business is also impacted by the winter season as we generally see that fewer mats are required to navigate that frozen terrain. However, we did see anomaly in the first part of 2023 as we had a couple of long linear projects in western Canada where the rentals continued through the winter months, which is not the norm. In terms of the remaining quarters, the third quarter is the strongest quarter followed by the second quarter. The fourth quarter is what I would characterize as a simple average quarter compared to the annual results. I will now focus my comments on our expectations for Q1. We anticipate adjusted EBITDA for Q1 of 2024 to be higher than Q1 of last year, driven by growth in the A&A segment. Our Essential Air Service business will see material growth year-over-year, driven by a multitude of factors. These include the full quarter deployment of four Q400s to provide services under our agreement with Air Canada, the additional aircraft capacity added to our passenger and freight business in 2023, and the growth in our Medevac business with the additional Medevac aircraft we added to the Nova Scotia contract in August of last year and the ten-year BC and Manitoba Medevac contracts won in 2023, starting to contribute to financial results in the quarter. Offsetting some of these gains is the impact of continued labor shortages and supply chain challenges. Although we are not seeing a worsening of these dynamics and in fact we are seeing a stabilization of these related costs, the challenges still remain. The Aerospace business line is also expected to have growth in Q1 primarily driven by the full engagement of Force Multiplier doing maritime surveillance work for the UK Home Office. Aerospace is also bolstered by high tempo [ph] flying in the Netherlands, UAE and Curacao. Our Aircraft Sales and Leasing business will see material year-over-year growth. The anticipated growth is driven primarily by increases in leasing revenue. Although we are still off pre-pandemic levels, we expect continued improvement throughout 2024 and anticipate being at pre-pandemic run rates by the end of the year. We also expect higher aircraft and engine sales in the quarter compared to Q1 last year, with parts sales continuing to be consistent with historical levels. Now, turning to our Manufacturing segment. In Q1 of 2023, our Environmental Access Solutions business had significantly higher results than historically for this period due to two long linear projects in BC where there were a significant number of mats on rent. Given BC's milder weather, these projects were not impacted by the typical winter slowness or shutdowns experienced at most projects in Q1. These two projects were completed in 2023 and hence results in Q1 of this year will not benefit from these rentals and are expected to be more in line with its historical seasonal results for Q1 being the slowest quarter. The rest of the year is expected to be similar to the results experienced in 2023 being at or above our acquisition metrics. The Multi-Story Window Solutions business will see material growth in Q1 over prior year. The drivers are the acquisition of BV which does not have a comparative in Q1 2023 and the increasing volumes at Quest. Coating in Canada and the U.S. continues to be extremely active, but the conversion of those coats into backlog is being delayed with uncertain economic conditions and sustained higher interest rates. Also in the Greater Toronto region, we are seeing a shift in new projects from condos to apartments. We are agnostic to whether multi-residential projects are condos or apartments. We remain bullish on this business line as the fundamentals which drive demand being immigration and lack of affordable housing remain incredibly strong. Also, later in 2024, we expect to start to see some of the financial benefits of the synergies being captured between Quest and BV. The Precision Metal and Engineering business is expected to be in line with prior year. Although Dry Air does not have a comparative for Q1, the seasonality of Dry Air's business causes its profits to be concentrated in Q3 and Q4. The addition of Hansen in Q2 last year will increase results, but will be primarily offset by volume decreases at some of the other entities, driven by continuing higher interest rates and economic uncertainty. With respect to maintenance capital expenses for Q1, we anticipate levels being higher than Q1 of last year. Higher flight hours to support increased volumes together with inflation, labor shortages, supply chain issues, growing fleet size and acquisitions are some of the factors contributing to the increase. Although maintenance CapEx can shift between quarters, we are currently expecting expenditures in 2024 to be more front end loaded than what we experienced in 2023, which will also contribute to the year-over-year increase. However, overall we expect maintenance capital expenditures to increase roughly consistent with increases in adjusted EBITDA.
Gary Filmon Indigenous Terminal: Our acquisition pipeline continues to be very strong with capital on hand from the equity raise last year. EIC will continue to be active in the acquisition market. Although it is early on in 2024, we remain confident that we are on track with our 2024 adjusted EBITDA guidance. This confidence is underpinned by the essential nature of our businesses, the fact that a significant portion of our revenues are backed by long-term contractual arrangements, the growing need for aerospace solutions, the recovery of our aircraft leasing business, the investments we have made in prior periods for future growth, and our acquisitions of last year. Thank you for your time this morning and we'd now like to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from James McGarragle at RBC. Please go ahead, James.
James McGarragle: Hey, thanks for having me on and congrats on a good quarter here.
Michael Pyle: Good morning James.
James McGarragle: Yes, so my first question is on the underlying macro and the company specific assumptions kind of underlying your 2024 guide, trying to see the extent it might be conservative or potentially ambitious, because kind of through reporting we've seen some companies assume macro stays consistent through the year. Some companies assume macro kind of turns in the back half. So can you walk us through what macro trends are baked into your 2024 guide? And then more specifically on Northern Mat and the Window business kind of what you're assuming there?
Michael Pyle: Sure. If you -- philosophically, because we don't have a ton of exposure to the market as a whole, like the growth in GDP and those things, so our forecasts are driven by continuing the way we see the business today. So we haven't factored in big increases in the economy from cut interest rates or a recession or anything like that. It's very sort of steady as she goes with adjustments for what we know about each of the businesses. As an example, you brought up the Window business and our environmental matting business. We know that when you look at environmental matting, when it's compared to 2023 or 2022, we had disproportionate amounts of mats on rent in the first quarter, which aren't normal for the business. Typically the ground is frozen and matting isn't required in a lot of the markets. So typically it's a slower period and we'll see a return to that this year. Now, to be clear, that's factored into the guidance we've given. You'll see that business be more simple, more seasonal this year than normal. But we haven't factored in any changes in the economy per se. We do believe in the back half the year and into next year, we will see an increase in the T&D part of our business and the electrical transmission business in the Eastern Canadian market. And so we see that strengthening, but it doesn't have a material impact on our forecasting. As it relates to the window business, we are forecasting based off the work we have in-house. The order cycle on windows is more than a year. And so while we've got tons of stuff out on bid, and I really do expect the conversion to start on that into hard orders, that's really not going to have much of an impact in 2024, even if it were to start very quickly. So in summary on that, James, I would view it as a status quo kind of looking at the economy with specific adjustments for certain businesses.
Carmele Peter: Sorry, James, just a couple of comments. When I think about our business lines and break them down, so Essential Air Service, not really impacted by kind of your macroeconomics, so pretty steady essential service. We're moving folks and freight regardless of what's happening in the economy. Aerospace, probably between 80% to 90% of our Aerospace revenue is under contract, so again, very stable revenues coming in there. And Mike has touched upon the window in Northern Mat, other manufacturing. What we're seeing is we're not losing any business, but on larger projects where we would be suppliers too, there is some hesitancy, everyone's, I think, waiting for interest rates to decline, but we built that into our numbers and then leasing or Aircraft Sales and Leasing, we do see the upside that we've seen last year continuing into 2024 and do expect that we're going to be back at our pre-pandemic run rates by the end of the year.
James McGarragle: I appreciate that and Carmele, it's good to hear from you. I thought you were retiring, but it looks like you'll be sticking around for a little longer. I had another question with regards to the free cash flow, and we saw the working capital investment. I know you addressed this in your prepared remarks. But if we back out that adjustment related to the timing of certain payments in 2023, the working capital was basically flat on the year. I guess, I kind of thought that would come in a lot higher given the growth we saw in the business this year. So anything to call out there, anything that might is just getting pushed into 2024? Just trying to see how we should be looking at free cash flow and then any potential investments in working capital this year to support those upcoming growth opportunities?
Michael Pyle: I'm really proud of the work our team has done on managing our investment in working capital. You're bang on that. If you back out the anomaly of that one fuel delivery from the preceding year, our working capital is essentially flat year-over-year with $300 million of additional sales. On a go forward basis, we don't see any big changes to that coming. We'll continue to manage it very aggressively. There's been some stuff in the media about big increases in delays in getting paid in the window business. We have highs and lows, but we don't see any material change in the timing of our payments there. To the extent we have any delays, the government is struggling with some systems working which has delayed some payments for us in our aviation business, but that's already reflected in the year end numbers. And so we would expect that to improve during the year as the government gets their stuff back to a more normal state. So bottom line is that we're happy with what we accomplished there. I think it was remarkable to $300 million with no investment and we don't see a big change coming this year.
James McGarragle: I appreciated that and I'll turn the line over. Thank you.
Michael Pyle: Thank you.
Operator: Next question will be from Steve Hansen at Raymond James. Please go ahead.
Michael Pyle: Good morning, Steve.
Steve Hansen: Good morning, guys. Look, Mike, 2024 is clearly going to be a pivotal year for your Essential Services Group. You've got Air Canada in full swing now. BC Manitoba Medevac contract is ramping. This is all business, of course, that you secured last year or the year prior even. How do you think about the corporate development efforts to secure additional contracts? Is there contracts to go after? Is it too much to handle given you've got so much already in progress? How do you think about additional growth opportunities for that vertical, given how much you're already taking on?
Michael Pyle: Yes, that's a really good question. It's important to understand when we take on these opportunities, whether it be the UK Home Office with PAL, or the BC Medevac contract or the Manitoba medevac contract, they're handled by specific subsidiaries and they don't really impact EIC's ability as a whole to go after other things. And I think one of the things in our track record is we're consistently looking for opportunities and there are some new opportunities coming in the Medevac side, contracts that are coming due in regions we don't service that we'll be actively looking at, the UK opportunity that we got for 18 months. The government has put out a longer term RFP, which is for twice as big a service as what we're providing. So we have bid on that and we're excited about that potential opportunity. So I wouldn't look for any slowdown in our organic growth. Clearly, last year was an exception, landing two medevac contracts and a maritime surveillance contract in the same year, but there are opportunities across all of our market segments. And I think the other piece that’s, while it's not contractual, the thing that I am excited about is the construction of high rise buildings has to accelerate. We have such a shortage of housing in Canada. We've seen in certain pockets of the U.S., particularly in the northeast, where they've started to convert existing commercial buildings into residential buildings. I believe we're on our fifth or sixth such project in the Washington area and there's reason to believe that will expand as well. So we're by no means done on the organic growth front.
Carmele Peter: Yes. Steve, a couple of other things to keep in mind or data points. With the world being in the state it is, we continue to see opportunities on our aerospace side in Europe and Southeast Asia under our Air Canada contract. As we announced, we have up to six aircraft to deploy potentially under that contract, we've deployed four as of right now, so there's opportunity to deploy an additional two. And there's also future air crew training where we're part of the team that was named the preferred bidder. Those negotiations with the prime and the federal government are going on right now, but that would be a contract that we would hope to be part of and probably see that by the end of the year.
Steve Hansen: I appreciate that, thanks. And just a quick follow-up or clarification on the cadence for Northern Mat through the year, I think if I caught your commentary correct, the Q1 will be the biggest headwind still where you're comping up against the big linear projects, but the balance of the year will start to reflect, I guess, less of a headwind as you were already experiencing some of that decline last year. Is that the way to think about it?
Richard Wowryk: Absolutely. Most of it's in Q1, a little bit in Q2, and then the cycle starts going the other way.
Steve Hansen: Got it. I appreciate it. And just on that, is there opportunities for new projects at Northern Mat? I mean, we've been all been focused on these large projects ceasing out west, but are there new opportunities as we look into 2024 and 2025 I guess?
Michael Pyle: Yes, absolutely. The midterm in that business is really good. I think we're seeing a little bit more. 2023 and 2022 were really about the pipeline part of the business. I think you see the back half of 2024 into 2025 start to be a little bit more about the transmission business, which is particularly based in Eastern Canada. It's also something we're excited about going into the U.S. So we are currently looking at ways to build our mats in Eastern Canada. Mats are so heavy shipping them from BC to Ontario. While it's the only way to do it right now, we view as suboptimal. And so we're examining opportunities to be able to build those mats directly in market and hopefully we'll have some progress to report on that at some point during the year.
Carmele Peter: I think there are also opportunities in relation to everyone's goal with respect to the environment and looking for zero carbon grids, look at carbon capture hydrogen pipelines. I think all those will be other areas where we can deploy mats as well.
Steve Hansen: Thanks.
Operator: Thank you. Next question will be from Cameron Doerksen at National Bank Financial. Please go ahead.
Michael Pyle: Good morning, Cam.
Cameron Doerksen: Yes. Good morning thanks. Thanks very much. I guess my first question is just around the CapEx number you've indicated on the maintenance CapEx, we should expect, I guess, growth in line with the EBITDA growth. I just want to try to get a handle on growth CapEx. And obviously with a big year in 2023, you still have a fairly big year in 2024. But will 2024 be a higher growth CapEx as it stands today relative to 2023 or less?
Michael Pyle: I would expect it to be somewhat less. The Manitoba medevac contract, the largest investments were made during the fourth quarter where we acquired the aircraft. Rich, correct me, but I think all five of those were paid for during fiscal 2023. The big part that's going to come forward is BC Medevac contract. We only had one of the 12 delivered by our supplier last year, so that's all this year. We've got the full motion simulator, which we paid for a portion of last year, but there's more to come on that one. And then the completion of the Gary Filmon Terminal would be the main drivers of growth. CapEx. I always want to point out that we were opportunistic at Regional One, so hopefully they'll find a fleet. I don't think there's much in it for us in the Lynx fleet. That's all 737, but hopefully we'll uncover an opportunity or two there. But those are based on when we find them. They're not budgeted and they're not easy to predict.
Cameron Doerksen: Right. Makes sense, I guess second question, I guess, sort of on capital deployment and the M&A outlook. I mean you've indicated that pipeline still looks pretty good. Just any commentary on what you're seeing out there? Any changes on the M&A front relative to what you talked about back in the fall?
Michael Pyle: I would say that perhaps there's been a slight decline in the number of transactions we're looking at. It's still pretty good, but it’s not -- quite often there's a surge of stuff at the start of the year. We haven't seen that this year. But I would reiterate what I said before, that the quality and the size of what we're seeing is unequivocally better than normal and so I'm very bullish on the acquisition side of the business. May be not as many opportunities. I think people are waiting for interest rates to come off with the hope that multiples will go up, but we're busy on that front. The interesting thing right now for us is most of the things we're looking at are very tangential to what we're doing. It's expansion of geographies in aviation or vertical integration in our manufacturing businesses. So the stuff we're looking at is stuff we know quite a lot about.
Cameron Doerksen: Okay. No, that's good to hear. That was all from me. Thanks very much.
Operator: Thank you. Next question will be from Matthew Lee at Canaccord. Please go ahead.
Matthew Lee: Hey, good morning, guys. Thanks for taking my question.
Michael Pyle: Good morning, Matt.
Matthew Lee: Good morning. Maybe we want to talk about margin profiles quickly in the quarter. In Manufacturing, it feels like revenue is a bit higher than expected, but on lower margin. So is that related to revenue mix between the businesses or perhaps some mat sales in the quarter or something that kind of changed that profile?
Michael Pyle: Yes, I think you're bang on, Matt. For us, the margins are largely driven by product mix and we talked about the fact that the rental market was softer in the mat business and so we shifted gears a little bit and sold a number of mats that were coming off program. So we sold used mats, which you see it in a few places in our statements, you see increased revenue. And Rich mentioned about how we had negative growth CapEx in that business because we sold off some used mats. The mat business, in addition to the end of those couple really big projects, was going through a change in the price of wood. When we bought Northern Mat wood was insanely expensive, more than double what it normally is in the cost of the mats. And some of our competitors got caught with a whole bunch of expensive inventory that they can't sell because they're not worth what they paid for them. We didn't get caught in that problem and we were able to sell the used mats right size, the fleet and that you see that in our revenue and in our margins.
Matthew Lee: Great. That's really helpful. And then maybe on the airline side, looks kind of like good load factors, maybe increased leasing. Both led to a margin beat in the quarter. When I look forward into 2024, I mean those factors seem like they would be relatively sustainable even if Q1 is seasonally a little bit softer. Is that the right way to think about it?
Michael Pyle: Yes, exactly right. The seasonality is not going to change. In fact, it will probably be more apparent because of the Northern Mat stuff. But in the aviation business, the things that drove our enhanced results are all continuing on higher volumes, higher utilizations in our maritime surveillance business. So there's no reason to expect the stronger margin profile there to decline, other than it will move with seasonality as it always does.
Matthew Lee: And the margin profile of the new contracts is kind of similar to what the business already does?
Michael Pyle: Which contracts are you referring to? The Medevac contract?
Matthew Lee: Yes.
Michael Pyle: Again, bear in mind, the Manitoba one, the answer is a lot easier. It's yes. The BC one, it's also yes. But bear in mind, we had a part of that stuff before, so we're going to need to redeploy the aircraft we had that we were using on that contract before and those were the newest medevac aircraft we have, other than the ones we just bought for Manitoba. So that will -- you will see those margins grow over time as we redeploy the assets we're pulling off of the existing contract.
Matthew Lee: Okay, that's very helpful. I'll pass the line.
Operator: Thank you. Next question will be from Chris Murray at ATB. Please go ahead.
Michael Pyle: Good morning, Chris.
Chris Murray: Yes, thanks. Good morning, folks. May be Carmele, I know you were talking about the leasing business, so I just want to delve into that a little bit. So you made the comment about the run rate being back at the 2019 run rate by year end, and sometimes this is conditional on to Mike's comment about what the guys at Regional One can find in terms of aircraft. But can you talk a little bit about what that growth rate looks like over the next couple of years and what the fleet utilization would look like? And then while I've also got you on the line, it sounded like you were going to make kind of a comment about your impending retirement or what's going on there to James's question? So if you can maybe clean that up and give us a better color on what the plan is there, that would be appreciated.
Carmele Peter: Sure. So why don't I take your last question first, which is, yes, I'm still here and will be for the next little bit as we transition my responsibilities over to others here at head office, and I finish a project or two that I have on my plate. So you'll probably still see me around for the next quarter or so, but would expect to be retired definitely by the end of the year, to give you kind of some sense of timing. As it relates to your question on leasing, one thing with Regional One is, I know you're aware of, Chris, because its short-term leasing, we have assets going on lease and we have assets coming off lease. So when we look at our guidance, we obviously consider both together with what's ever in the pipeline on some reasonable expectations on obviously acquisition to add to our leasing portfolio. We are seeing to break this down by region a bit, like we are seeing actually really good demand in Africa. Europe is coming back quite nicely, not quite there yet, but trending quite well and the slowest region to come back is actually North America. But we have a lot of assets. In the past we've had them leased outside of North America. So when I look at where we are today, I think there's quite a bit of growth left for if I look at this quarter compared to what a rent rate is, I would expect there to be 35% more to be achieved by year end incremental growth over the quarter.
Chris Murray: Okay, that's helpful. And then the other question is just in terms of the, maybe thinking about the Medevac rollout as we go through the year, Mike, I think you've talked a little bit about the plan will be that we'll see revenue start to materialize as aircraft come in. Can you give us maybe the pacing or your thoughts around what the expected deliveries of those aircraft are? And are you seeing and I think we're seeing this from every OEM right now any risk in delay or anything like that that could take those deliveries and push them to the right, maybe further into 2025 or into 2026?
Michael Pyle: The King Air have been in the order book for a bit, but we have seen slight delays in some of these things, not material ones, but moving things a month here, a month there. And so we could have some that don't get in until 2025 and plus we've added aircraft to that. So it moves both things. It moves the payment for them, so it pushes the CapEx out and it delays the full rollout of the plan. We are, however, experiencing the higher pricing from the new contract on the work we're already doing, so there is some benefit right away. And I would suggest that we will have all the planes flying early in 2025, but we will definitely have some deliveries that will cross into next year.
Chris Murray: Okay. But nothing you're seeing right now that really you see as a major risk or pacing item?
Michael Pyle: Tektron [ph] is a little delayed on some stuff, but nothing earth shattering.
Carmele Peter: Yes, I mean, what we're seeing is we are seeing a little bit of sliding out, so that we're probably at this point expecting more aircraft than originally expected to slide into 2025, ones that we originally expected to be in 2024. So I think we'll go in a little deeper into 2025, unfortunately, on these aircraft deliveries.
Chris Murray: Okay. That's helpful. Thank you.
Operator: Thank you. Next question will be from Jonathan Mason [ph] at CIBC. Please go ahead, Jonathan.
Michael Pyle: Good morning, Jonathan.
Unidentified Analyst: Good morning. Thank you for taking my question. So you've been able to raise prices on your window business to reflect higher inflation. Is there still more catching up that needs to be done, or are you happy with where you are at?
Michael Pyle: Well, it's really a contract by contract issue there because in most of them, the pricing is set. We've worked through most of the old contracts where they were priced before the big inflation in input costs. So we're pretty comfortable with where we are. And I would envision that our position strengthens when the market starts booking some of these orders. There are so many bids outstanding. When they start to go, people are going to be very concerned about when they can get their slots, which is typically good for our margins.
Unidentified Analyst: I see. Thank you. And can you speak to the labor environment, both availability and cost across the business, not just within aviation?
Michael Pyle: Well, aviation I would describe as slightly better, but the band for pilots and the ability to train them, it takes a long time to turn a pilot into the asset that you need them to be. There's lots of co-pilots out there with 250 hours in flying time, but they're limited in what they can do. So I would envision that the labor supply in the pilot side and quite frankly, the maintenance engineer side very closely mirrors what's going on with pilots. So I describe it as better, but it's going to be a long time before it's good. On our Manufacturing side, we've definitely seen an improvement in the availability of labor. I would describe it as still tight. And we've made decisions in windows as an example where we've kept more people on than we probably need to at this point. But I don't want to have to retrain and go find them when these orders start to pop. So I guess it's kind of the same across the board. Tight, but not as bad as it was, say 12 months ago. Carmele, would you want to add anything to that?
Carmele Peter: Yes, I mean, you're right on the cruise siding of things. So definitely still a shortage, but we're better than what we were last year. That doesn't mean, as I remarked in my comments, it's still a challenge, but it's less of a challenge. And then in our Manufacturing segment, I described it as stable. We are getting the people that we need and so we don't really see any significant issues on that front.
Unidentified Analyst: Great, thank you. I'll jump back in the queue.
Operator: Thank you. Next question will be from Jonathan Lamers at Laurentian Bank. Please go ahead.
Michael Pyle: Good morning, Jonathan.
Jonathan Lamers: Good morning. Thanks for taking my question, Mike, we read that Air Canada Jazz had a very strong holiday season. I believe this was the first quarter with contribution on your Air Canada Express contract. So if volumes are strong and demand is strong, how would that have benefited your earnings? Were any new routes added?
Michael Pyle: It really doesn't change our stuff much. We are providing certain flights at preset rates. We've got flow-throughs on certain costs like fuel, but we aren't taking the ticket risk. That's Air Canada's. So I can say though, that our performance has been very strong. Air Canada has been very happy with what we've provided and it's gone probably more smoothly than even we would have anticipated. So it's off to a great start. We had announced that it was up to six planes. We've got four that we're flying now. Reasonable chance that we may get called upon to provide the others in the future.
Jonathan Lamers: Good to hear, thanks. And on R1, we saw a public announcement that, that division had appointed a Chief Investment Officer are you planning to pursue any new types of investments or joint ventures for that business?
Michael Pyle: I'm not sure that we're to pursue any different types of investments. We regularly invest in certain lease opportunities with financial partners. It gives us access to learn about different aircraft without having to make huge financial bets. But we are definitely in those situations where we manage the aircraft for someone else. We are making equity investments alongside with them. It's not just we're a pure manager, we're a manager and an investor.
Jonathan Lamers: Thank you. And just one last question on BC Medevac, it sounds like that continues to go well. If the contract is expanded, would you have an updated total CapEx budget for us? Including all the new planes ordered? I think we'd estimated that there might be $200 million investment in total for the contract at the time of the [indiscernible].
Michael Pyle: Yes, we could - for sure, Jonathan. We can do that in future periods. Like I say, we've already added one or two to the contract and there's still discussions ongoing. So we could certainly do that in a future period.
Jonathan Lamers: Okay. Thanks for your comments.
Operator: Thank you. Next question will be from Konark Gupta at Scotiabank. Please go ahead.
Michael Pyle: Good morning, Konark.
Konark Gupta: Good morning, Mike and team. And good to see you, Carmele for a bit of a stretch here, maybe first question on Aerospace segment we didn't dig a lot in that today. So in Q4, it seems like the revenue in Aerospace was up 13%, but the EBITDA was up only 3%. There seems to be some reference in the MD&A about future contract adjustments. I just wanted to understand what contract adjustments are we talking about here?
Michael Pyle: Richie, do you want to?
Richard Wowryk: Just, there were a couple of contract adjustments in prior periods and one in this period just increased costs that are going to flow through price escalator adjustments in future periods, so just an impact in Q4 that we don't expect to recur in future periods.
Konark Gupta: I see. So it's already happened and those costs have been taken, impacted previously. So future is probably where you are. In terms of margins, you're just study [indiscernible].
Richard Wowryk: Yes, we don't expect. Go ahead, Mike.
Michael Pyle: No, you go ahead, Richard. I jumped in. You go ahead.
Richard Wowryk: Yes. I don't expect a similar kind of deterioration between revenue and EBITDA growth going forward. It was just a one quarter impact.
Konark Gupta: Okay, that makes sense. Thanks. Okay. And just on the Northern Mat. So from what I heard today, sounds like obviously you had a little bit of a kind of long winded tailwind sort of in Northern Mat last year, probably until the spring or so. So it sounds like obviously, Q1, I get it. Totally. How's Q2 expectation at this point? Are you guys expecting somewhat flattish performance at Northern Mat in Q2 this year or is it still going to be slightly down?
Carmele Peter: I would -- I can take that.
Michael Pyle: Go ahead.
Carmele Peter: Yes, we still had the impact of those long linear projects for the first part of Q2, so probably on a year-over-year basis, slightly down, but I wouldn't suggest that it's significantly material. And then, as I indicated, for the balance of the year, pretty much the same that we saw in 2023.
Konark Gupta: Okay, thanks, Carmele. And then maybe quickly follow up on Northern Mat. Lastly, have you right-sized any of the mat or bridge fleet already or is there a big opportunity in front of you?
Michael Pyle: The fleet is about where it should be as we move see the improvements in the T&D business in Eastern Canada. We'll have to figure exactly what we want to do with the fleet there. The longer term, some of those contracts are, the more we may invest in some there, but at this point we think we've got the mat size where we want it to be.
Konark Gupta: Okay, that's great. Thanks, Mike, I appreciate the time.
Operator: Thank you. Next question will be from Fernando Torrealba at Cormark. Please go ahead.
Michael Pyle: Good Morning.
Fernando Torrealba: Good morning. Thanks for taking my question. A lot of the questions I had have already been covered. So I'm just hoping that maybe you can give us some indication about the potential extension of the UK Home Office, if you can speak to that at this point, or at least maybe closing, as to whether you expect it to maybe require additional aircraft or have similar or different economics to the current contract or similar contracts that you already have in place.
Michael Pyle: Sure, that's a good question. When the government let the contract last year, it was to deal with an urgent situation. And so they did it without an RFP, which is what led to an 18-month contract, which under UK law was the most they could do without a process. They've immediately worked on the process, put the bid out and we've already submitted our bid. On the longer term RFP, we believe that the second - longer term contract will be about twice the size, perhaps a little more than that of the initial contract, and we would, if successful, likely need to put a second aircraft into service. But the way the aircraft would be equipped, the margins and those kind of things would all be very similar to what we've had in the 18-month contract.
Carmele Peter: Yes. In the contract, we expect it for three years and likely to hear towards the end of Q2.
Fernando Torrealba: Got it. Thank you. That's very helpful. And then may be just a follow up on that. I'm just looking here at your leverage metrics, and they seem to be on the right side of where you want them to be. But I'm just wondering, are you looking to build, let's say, a bit more of a buffer for the rest of 2024? And if so, then how comfortable are you with funding growth CapEx if you are successful in getting the contract, how comfortable are you with funding growth CapEx with internal cash flows versus maybe having to tap the equity markets again?
Michael Pyle: Barring Adam getting hot and getting us a really big acquisition somewhere, we've got all the equity we need. Our leverage is at sort of five year lows on an aggregate basis and trending the right way, so we can fund whatever we need to on that growth kind of stuff internally. The only thing that would drive an equity need would be an outsized acquisition. And by outsized, I'm talking in the $200 million, $400 million range. The smaller stuff we can do ourselves.
Fernando Torrealba: Got it, excellent. Thank you so much.
Operator: Thank you. [Operator Instructions] And your next question will be from [indiscernible] at TD Cowen. Please go ahead.
Michael Pyle: Good morning.
Unidentified Analyst: Good morning. Thanks. I'm speaking on behalf of Tim James today, we have two questions. For the first one, for Multi-Story Windows, was revenue higher in Q4 than in Q3?
Michael Pyle: Rich, I'm going to hand that to you. I don't have that.
Carmele Peter: Just give us a second, we'll pull that for you.
Unidentified Analyst: Yes. Okay.
Michael Pyle: Ask the second one while we're digging up the first one.
Unidentified Analyst: Yes. So and then on the topic of multistory windows, have the deferrals or delays on the condo project orders become more or less significant than six months or a year ago? Put differently, has the uncertainty increased?
Michael Pyle: I would describe it as consistent. It's very project specific. Some have been delayed, some haven't. Our backlog is about where it was a year ago, in around the $1 billion range. So I would describe it as consistent. Every time the interest rates they talk with them coming off, we start to see a little increase in urgency on some of the bidding stuff. So it's my personal opinion, although not tied to any facts that I think you will see. The conversion of opportunities into hard orders follow once we start the rate decline process.
Unidentified Analyst: Thank you. And then I guess if you don't have the…
Richard Wowryk: I do. Yes, just follow up. So the Q4 was slightly lower than kind of Q3, but within 5%, so relatively consistent.
Michael Pyle: And most of that would tie into the seasonal nature where the last half of December isn't particularly good in manufacturing with the vacation days and the holidays.
Unidentified Analyst: Okay, perfect, thank you.
Operator: Thank you. And at this time, Mr. Pyle, we have no other questions registered. Please proceed.
Michael Pyle: Well, thank you, everybody, for joining us today. I look forward to chatting with you again in May when we discuss our first quarter. Have a great day, and we'll talk to you soon.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines. Have a good weekend.